Operator: Good morning, and welcome to CLEAR's Fiscal First Quarter 2025 Conference Call. We have with us today, Caryn Seidman-Becker, Co-Founder, Chair and Chief Executive Officer; Michael Barkin, President; and Jen Hsu, Chief Financial Officer. As a reminder, before we begin, today's discussion contains forward-looking statements about the company's future business and financial performance. These are based on management's current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these statements are included in the documents the company has filed and furnished with the SEC, including today's shareholders' letter. The company disclaims any obligation to update any forward-looking statements that may be discussed during this call. During this call, unless otherwise stated all comparisons will be against the comparable period of fiscal year 2024. Additionally, the company will discuss both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures is provided in today's shareholder letter and the most recently filed annual report on Form 10-Q. These items can be found in the Investor Relations section of CLEAR's website. With that, I'll turn the call over to Caryn. The floor is yours.
Caryn Seidman-Becker: Good morning, and thank you for joining our first quarter 2025 earnings call. I want to welcome our new President, Michael Barkin and our new CFO, Jen Hsu, to their first CLEAR earnings call. I'm absolutely thrilled to have them as partners and an integral part of CLEAR's leadership team. CLEAR is building the leading secure identity platform, making it safer and easier for people to move through the world. In the first quarter, we saw momentum across our travel footprint, continued scaling of our TSA PreCheck enrollment program and exciting traction with CLEAR1. We have introduced important new products to improve the member experience, enrollment process and our technology platform. With the REAL ID deadline here and our ePassport product fully rolled out, CLEAR is helping to ensure Americans across the country are REAL ID ready. CLEAR's travel business saw continued strong growth in the first quarter, a reflection of our opportunity to continue to grow the top and bottom line through focus on the member experience, network and product expansion. CLEAR is active in 59 CLEAR+ airports and four domestic CLEAR Mobile airports with 167 lanes reaching 74% of U.S. airline passengers. In the first quarter of 2025, U.S. air travel demand continued upward. TSA checkpoint volumes grew almost 1% normalizing for Leap Day. For CLEAR, we care about the absolute volume of travelers at our airports and their demand for frictionless predictable experiences akin to their experiences elsewhere in the consumer economy. A recent survey conducted by the U.S. Travel Association highlighted the primary challenges faced by American air travelers. The biggest pain point for 64% of respondents was long lines at airport security with over half of travelers waiting over 20 minutes in security lines. Importantly, the survey suggested that biometrics are crucial to create a travel environment where safety and security are assured without sacrificing efficiency or privacy, something we have long believed. This data reflects the need for a universal predictable and frictionless experience. CLEAR is building the solution with the Lane of the Future. At the core of this transformation is what we call our eSuite products, EnVe, ePassport and eGates, designed to lead the future of secure seamless travel experiences. EnVe, our new enrollment verification Pods have now been deployed across our network. Our EnVe Pods are driving material benefits to the member experience through facial recognition and faster verification. EnVes are also enabling labor productivity enhancements, proving the value of automation in high volume environments. Finally, we are proud that our EnVe has just received the Red Dot Design Award given for great innovation in design. EPassport is a breakthrough in identity verification. It has unlocked true one step enrollment. For the first time ever, members can now fully enroll at home digitizing their passport in less than two minutes by scanning their passport in less than two minutes by scanning their passport chip directly within the CLEAR App. No more stopping at the airport to enroll, travelers can arrive at the airport and zip straight to the CLEAR lane. Today, this is available to U.S. travelers and we will be bringing this to international travelers in the near future, which will expand our total addressable market. EGates represent the next leap forward, software driven intelligent hardware built for faster and more secure experiences. They are vertically integrated, automated and built for scale. Pilots are underway at select airports and we believe they should be a cornerstone of next generation travel. Major global events like the World Cup in 2026 and the Olympics in 2028 are on the horizon and will put U.S. airports in the global spotlight. CLEAR is ready to meet the moment, offering end-to-end automated lanes at no cost to the government or taxpayers. We are proud to be delivering TSA PreCheck enrollment to more Americans than ever with 165 locations now live including airports, city centers and transit hubs, CLEAR is creating more ways for people to enroll at the airport. We recently rolled out our Passport Lookup feature, which means as long as travelers have a passport, they don't need to have it physically with them to enroll. We believe this will be an important accelerant to TSA PreCheck enrollment. With the federal Real ID enforcement date here, the stakes are high. Millions of Americans were showing up at the airport unprepared. CLEAR is built to solve this. Members can now upload and digitize their passport directly in the CLEAR App and be travel ready. Our EnVe rollout and ePassport solutions are great examples of CLEAR solving big problems with thoughtful member first technology. CLEAR1 is the one vertically integrated identity platform that helps enterprises prevent fraud, reduce insider risk and build trust. CLEAR1's embedded base of over 31 million members today and smart network maximizes security and minimizes friction. CLEAR1 continues to gain traction as we bring digital identity to life across new categories. Our recent partnership with DocuSign is a game changer. Customers count on DocuSign for critical agreements and contracts and we believe there is no greater way to build trust in those documents than total identity integrity provided by CLEAR. Our solution will allow users to verify their identity instantly and securely when signing high-trust agreements, streamlining processes in real estate, finance and legal industries. Together, we are setting a new standard for secure digital first workflows and it sets the foundation for expanded enterprise adoption of CLEAR. Overall, CLEAR1 continues to make great progress across the consumer, healthcare and finance industries. Identity is becoming more foundational to trust and access across sectors and CLEAR is uniquely positioned to lead. With that, I will turn it over to Jen.
Jen Hsu: Thank you, Caryn, and thanks to the entire CLEAR team for such a warm welcome. There is a tremendous amount of opportunity for the business as we look ahead and I'm thrilled to be joining CLEAR at such an exciting time. Let me now turn to our first quarter financial results. We continue to execute against our broader strategy, which is to grow members, bookings and free cash flow. We ended the quarter with 31.2 million total members on the CLEAR network, up 42.3% year-over-year, underscoring the continued growth and traction of CLEAR1. We delivered $207 million of total bookings and $91 million of free cash flow, representing 14.8% and 17.6% growth, respectively. Active CLEAR+ members grew to $7.4 million representing 9.1% growth. Our continued innovation including the Lane of the Future is elevating member experience and fueling member acquisition. Q1 gross dollar retention was 87.1%, down 140 basis points sequentially, driven by comping large step function price increases from 2023 and 2024. As an annual subscription biller, any pricing action that we take affects gross dollar retention over a 24-month time period from the date we implement the pricing change. The pricing impact builds over the first 12 months and then tails off over the subsequent 12 months. Since 2023, general airline pricing increased 59% from $119 to $189 and family pricing doubled from $60 to $119. These price increases had the greatest impact on gross dollar retention throughout 2024 and are now beginning to normalize. We have demonstrated our ability to consistently grow both active CLEAR+ members and average price over time. We continue to see meaningful price opportunities across our member base as we continue to enhance our value proposition. Shifting gears, we are making strong progress on TSA PreCheck and while we currently operate approximately 15% of total PreCheck enrollment locations, we are gaining outsized market share and volume. We are rapidly ramping our footprint with 165 total locations today across airports, flagships and our retail partners. Furthermore, we are encouraged by our ability to upsell TSA PreCheck new enrollments into CLEAR+ as a bundled product. Moving on to profitability, we generated $37 million of operating income, representing a 17.7% operating margin and $52 million of adjusted EBITDA, representing a 24.7% adjusted EBITDA margin. Cost of direct salaries and benefits represented 24% of revenue, up 150 basis points year-over-year. This increase reflects the first full quarter under our new Ambassador compensation structure, which shifted to higher base salaries and lower commissions. This change was designed to improve retention across our Ambassador team and is showing success. Direct salaries and benefits in Q1 also included the impact of new TSA PreCheck flagship locations. Excluding these impacts, cost of direct salaries and benefits demonstrated year-over-year operating leverage. Additionally, we continue to drive efficiencies in G&A, which represented 25.9% of revenue, an improvement of three sixty basis points year-over-year, reflecting our disciplined corporate expense management. In Q1, we generated $91 million of free cash flow, up 17.6% year-over-year as a result of continued operating leverage and the capital efficiency of our business model. We ended the quarter with $533 million of cash and marketable securities after returning $168 million of capital to shareholders, including approximately $102 million under our share repurchase program and approximately $67 million in dividends and distribution. Turning to guidance for Q2 and in consideration of the external environment, we expect revenue of $214 million to $216 million and total bookings of $215 million to $220 million representing 15.1% and 10.4% growth at the midpoint respectively. For the full year 2025, we are reaffirming our free cash flow guidance of at least $310 million and finally, we continue to expect full year 2025 GAAP tax rate to range between 17% and 20%. With that, I'm looking forward to working with many of you and we'll turn it back to Caryn for some closing remarks.
Caryn Seidman-Becker: Thanks, Jen. The past two years have been a challenging environment from an operating and regulatory perspective, which impacted member experience and member retention. Importantly, we are thrilled with our engagement with the current administration and their alignment with private sector partnership and innovation. We are emerging from this period with an improving member experience, a growing network, new technology and continued pricing opportunities, leading to growth in our member base, bookings and free cash flow. I want to close by thanking all of our great CLEAR Ambassadors and team members across the country for their dedication in serving our members with excellence every day. With that, we'll open the call for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Joshua Reilly from Needham & Co. Go ahead, Josh. Your line is live.
Joshua Reilly: All right. Well, thanks for taking my questions and welcome to the team here, Jen and Michael. As we're thinking about the bookings guidance for Q2, can you just discuss the macro factors you're considering including any potential disruption from the Real ID implementation? And can you just speak more broadly, what are you seeing in real time at the airports with regards to Real ID and is that impacting bookings or your business at all?
Caryn Seidman-Becker: Thanks, Josh. In terms of the macro, to date both growth ads and conversion rates from trial to paid memberships remain healthy. We are not seeing softness in our business as a result of any broader macro sentiment. Certainly, there is a lot of noise right now from both the economic backdrop and so like you look at new work for example and it's in the news every day. I think what's really important is that we're a subscription-based business that's oriented to how many travelers are coming through airports versus airfares. And so just as an example, the first quarter I think we talked about on the call growing 1% and April pretty much been flat. So, I think, yesterday started Real ID, Wednesday can be a pretty quiet day. So, I think net-net yesterday, I'm really proud of how our team executed and it was pretty much business as usual, but certainly every airport is handling it differently and I think you have to be thoughtful of just how it could work its way through the system. There is a lot of gratitude that CLEAR members and we've really been focused on CLEAR members being Real ID ready and that the CLEAR Lane is the calm in the chaos. So we didn't see it yesterday. It is day one. We are partnering closely at both the Federal and the local level and I think that really is a great reflection of the strength with this administration in the public private-partnership. And so we're excited about that. We're really pleased that we have ePassport rolled out before that. So I think that guidance is just a reflection of the noise in the world and being thoughtful of it with a new management team and making sure that we execute with strength going forward.
Jen Hsu: And Josh, I would just add to that as Caryn shared, we are not seeing any softness in the business today as a result of macro. But having said that, the market is obviously volatile and Real ID is just one example of that. It's an area where we think we can drive a lot of positive impact, but it also just creates some degrees of variability and unknowns. So we felt it was appropriate to widen bookings by one percentage point just to give ourselves a bit of room for a wider range of outcomes. I'd also add, we did reiterate the free cash flow guidance. So I think that's a testament to the visibility we have in the business and the levers that we have as well going forward.
Joshua Reilly: Got it. That's helpful. And then as we look at retention, the dollar retention obviously ticked down sequentially. I wanted to get some color on what's happening more broadly with family members now that you've lapsed the larger price increases for these customers relative to what you're seeing for individual members. Are you seeing the family churn normalized, now that we've lapsed those big price increases? Thanks, guys.
Jen Hsu: Yes. I would just say, overall, on member retention, those trends remain consistent and you can see that in the net adds additions that we added this quarter, so 100,000 net adds sequentially Q4 to Q1, which is an improvement relative to Q1 of prior year, where we added $78,000 quarter on quarter.
Operator: Thank you. And the next question comes from Ben Miller from Goldman Sachs. Ben, your line is live.
Ben Miller: Great. Thanks for taking the questions. Given the uncertain macro backdrop, I'm curious how the team might express flexibility around long-term investments and or capital returns in a downturn. And as you think about the ranges of outcomes in the macro, curious what's contemplated in the reiteration of the free cash flow guide?
Caryn Seidman-Becker: I'd like to take the macro then, because I think it's really important when you think about both the investments that we've made and the automation that we're focused on driving. And that is our biggest opportunity set, which is not only does the NextGen identity create operating leverage and you've seen that through the improvement of what you're seeing in the lane. The EnVe's create operating efficiencies and eGates create enormous operating efficiencies. In addition to that, ePassport or one step enrollment is a big opportunity for us as it both expands our enrollment capacity and our TAM. And so 40% of people today who enroll come and complete at the airport. Those folks can go straight to the lane. And so on that side of the business, we're really focused on automation to improve the member experience, predictability and security. And I think that's where you see the operating leverage there. From a CLEAR1 perspective and a PreCheck perspective, what we've been saying is that we've put the expenses forward over the past year or two and now we're leveraging that with revenue and you see that in the PreCheck growth. I think we had 90 something locations last quarter and now we're talking about 165 today. So you're seeing that ramp. And certainly, there is a small labor component with that, if it's our own flagship location versus one of our partner locations where we don't have labor, but there's a really good ROI to that. So, I would just say we're seeing the operating leverage, and we're driving automation on the more labor-intensive side of our business.
Jen Hsu: That's right. I would just add on the investment side as Caryn shared, much of the fixed cost investment is behind us as we've talked about in the past. And you can see the CLEAR+ business continuing to drive overall operating leverage as Carynmentioned, PreCheck most of those costs are embedded and that business is very much still scaling and we're rapidly growing, our market share and volumes in PreCheck. On your capital allocation, capital return question, I would say, we ended the quarter with $500 million in cash. We still have about just under $150 million remaining in our share repurchase authorization. So I think, couple that with our free cash flow generation, we have a lot of flexibility to access a range of capital allocation alternatives and we'll continue to do that going forward.
Caryn Seidman-Becker: And then I would just add one more thing to what Jen said which is, we've been focused on bringing AI to every work stream of our business to drive productivity and outcomes and you're seeing that across the board here at Clear and that's something that we'll continue to focus on.
Ben Miller: Great. Thanks for that. And just as a follow-up, I'm curious how you think about pricing as a lever from here and has the current uncertain economic environment changed maybe how you think about the price versus user growth algorithm in the business over the near to medium term? Thanks so much.
Michael Barkin: Yes. On pricing, I think the company has been really strategic about pricing and I think there's definitely a continued opportunity to refine our strategy, particularly using a data driven approach. I think it's important in a consumer subscription business like CLEAR. I think pricing is a key lever to drive bookings and revenue. And I think overall we've been relatively conservative over time with our top-line price which today is $199 which is only $20 more than the original price from 15 years ago. And so I think a lot of it is about maintaining the strong value proposition of our product. And I do think we have an opportunity over time to focus on lifetime value of our members. And I think that one of the key pieces of that is to continue to look at the top line price, the areas where we've been able to acquire members with discounted prices and our opportunity to continue to close the gap, which I think the company has done a great job of overtime and we'll continue to focus on that.
Operator: Thank you. And our next question comes from Mark Kelley from Stifel. Go ahead, Mark.
Mark Kelley: Great. Thanks very much. Good morning, everyone. Two quick ones, if I could. First, just on the ePassport product rolling out internationally, I guess, when you look across the whole product portfolio, are there other opportunities to maybe be more ingrained and grow your business outside of the U.S.? That's the first one. And then the second question, on the last call you expressed the desire, Caryn, to close that wholesale to retail price gap. And obviously, we saw your announcement that you renewed with AmEx. Again, just can you walk through the dynamics a bit there and just maybe help us think through the free cash flow component particularly in Q3 with your credit card partners? Thank you.
Caryn Seidman-Becker: Sure. So I'll talk about ePassport and then I'll turn it over to Michael to talk about credit cards. Just in terms of ePassport, the opportunity to upload your passport and digitize it is really powerful. And today international travelers do not have a way to get through U.S. airport security in a differentiated expedited innovative and secure way. And so when you look at the total addressable market there in just the four countries that we'll be starting with, which is the U.K., Canada, Australia and New Zealand, we think there's about 2 million travelers there from a total addressable market. And then after that, we'll be expanding to other countries. So first things first, which is we're going to continue to expand our network in the U.S. and we want to make that network available to international travelers. I think that's a win-win when we look at both strengthening security and delighting customers. And then from there, I'm not sure if you mean, will we expand our business operationally internationally. As of now that is not our focus, it's expanding the TAM and serving international members. I will say on CLEAR1, we are expanding internationally, and serving our domestic partners with international businesses, which is something that we couldn't do with strength before. So we're really focused on that opportunity set. When you look at the DocuSign or the LinkedIn etcetera, they have global businesses. So following our customers around the world, is our first objective and quite frankly it's also from an economic perspective quite efficient for us. So it's a win-win. With that, Michael?
Michael Barkin: Thanks, Caryn. To the earlier question on pricing, I think one of the things that we're very focused on is ensuring that, right our price remains both affordable and one that really is something that the broad population of travelers can access, but also one that reflects the value proposition that our product and services offer. And so certainly, we look at that in terms of pricing overall and we definitely look at that as it relates to all of our products, some of which through various partners are at lower prices. As it relates to our credit card partnership, we deeply value that the partnership that we've created with American Express. I think that the partnership underscores our customer and brand alignment, which is mutually beneficial and has definitely supported our growth and engagement among our respective member bases throughout the partnership. I think it's important to realize that these partnerships are so important because it's actually estimated that travel spend represents over 20% of total spending on premium credit cards, which really highlights the alignment and value of our shared interests in this. For us, the credit card partnership services an important acquisition channel and it definitely delivers members with attractive demographics and ultimately strong lifetime value, which is why it makes sense for us to engage in this with a lower effective net price. And as our business has scaled and our network has grown and we've invested significantly as Caryn walked through, the value proposition of our product has improved and we expect that we'll continue to look for ways to ensure that our most important partnerships, including on the credit card side, reflect that shared value that we each bring and hopefully we can increase our member-level LTV and growth and our bookings and free cash flow through partnerships like this.
Mark Kelley: All right. Thank you, Michael. Thank you, Caryn. Very helpful.
Operator: Thank you. And our next question comes from Joe Feldman from Telsey Advisory. Go ahead, Joe.
Dana Telsey: Yes. Thanks for taking the question on behalf of Dana Telsey. So I wanted to ask about the B2B business, and maybe if you could talk more about the progress you're seeing across like healthcare and financial and social. I know you mentioned it briefly in the prepared remarks, but maybe you could dive in a little bit more about some of the trends you're seeing?
Caryn Seidman-Becker: Absolutely. I think there's two important trends that we're seeing. One is in healthcare and the other is in work force and work force is both in healthcare and beyond. So we'll start with healthcare and I think there's several announcements over the past quarter on partnerships that we have with different healthcare providers. So whether that be SureScript and IAL2, which is really important, or hospital system and those hospital systems can be for both workforce or for patients. And it's across various products. And I think one of the things that's really important for healthcare is not single-point solutions, but the power of the platform. So one implementation and our integration with Epic is really important as we go forward to be part of their toolbox to make integration simple for our healthcare partners again for both of the -- I would actually say not just for their workforce and their patients, but also for their visitors. So we're seeing industry demand on account recovery. We're seeing -- and that could be again for either workforce or for the patients that is a pretty painful customer experience. It's an expensive experience in a HIPAA compliant world of which we are and it also can create security vulnerabilities if not done well. In addition to that account creation, account check-in, the ability to verify your insurance information as a patient is really important. And so we continue to grow our product suite in healthcare and that's helping us not only sign new partners, but also serve our current partners in a bigger way. And then from a workforce perspective, what you're seeing across critical infrastructure is really important. The threat of North Koreans, the threat of foreign adversaries having access to critical infrastructure and data is a huge problem. It's a compliance problem. It's a trust and a brand problem. And so the cost there are much greater than you would even think at the beginning. And so helping secure workforce is really important both through our own direct products and integrations, but then again DocuSign is workforce, our Okta integration is workforce. And so I think that's a really important segment for us across multiple sectors.
Dana Telsey: That's great. Thank you. And then, maybe from Michael and Jen, I'm just curious now that you guys have been here a little while, short while. But just curious, kind of what you guys have seen so far and where you are spending more of your time these days, maybe anything you've learned in the last few months where you see some opportunities? Thanks.
Michael Barkin: Sure. Thanks. Yes, I mean, I've had the privilege of being on the board for five years and seeing the great work that Caryn and the team did to build the business to where it is today and somewhat unique perspective in joining. And yes, I think for me it's the opportunity and this kind of moment for the company. And I think a real potential for an inflection point as identity and security really moved to the forefront of both the physical and the digital world. And yes, I think in the travel business with everything that's happening, the way that we can extend our products, the value proposition in a world that is getting increasingly more difficult to navigate, offers us a lot of opportunity. And I think the product and technology investments that we've made in CLEAR1 really position us to be on the cutting edge of digital identity integration at a moment when trust and security I think have never been more important. And so for me the opportunity to get to have a seat at the table for what I think is a really exciting time and a really exciting ecosystem with a great team and a lot of investment and a really, yeah, really incredible member base and team both on the ground and working towards the future of the company makes me really excited. And I think my background is as an investor and a former CFO. And so certainly the financial profile of the business gives me a lot of comfort around how we can both invest and ultimately grow free cash flow and deliver shareholder value here. So I'm really excited to be a part of it. Certainly, learning a lot as we go every day and looking forward to what's ahead.
Jen Hsu: And I would say, I think the first month here has been thesis validating for me personally. Caryn, Ken and the team have obviously built a fantastic business, but I think also, a culture of financial discipline and that really comes through I think in the operating leverage that you've seen in the business and expanding free cash flow generation. And by the way that margin expansion and free cash flow come at a time when the business has navigated some pretty challenging operating environment. And I think looking ahead, I see a lot of opportunity. I think on the CLEAR+ side, we have a lot of growth ahead of us, both on the member and pricing side of the growth equation. And on top of that, we feel like we're early, early innings in expanding the broader CLEAR network and building a really large and sticky B2B business. I'd also say I think organizationally, I'm optimistic about the team and I think we have a really healthy balance between fresh thinking and operators that have been at the company for a long-standing time to really continue scaling and maturing the company effectively. On the feedback side, I guess what I would say is, I do think we have an opportunity to bring more clarity in our communication to the market. And so that is something that we are constantly reviewing and the goal is really to provide simplification and consistency when we speak to you all in the market.
Dana Telsey: That's great.
Operator: Thank you. And our next question comes from Michael Turrin from Wells Fargo. Your line is now live.
Michael Turrin: Hey, great. Thanks. On booking seasonality, the backdrop sounds stable. Could you maybe expand on what you're seeing year to date on bookings thus far and how you're thinking through or planning for any potential variability in summer travel and if there are offsets you'd note if volumes do start to slow whether it's price or just some of the other new product areas you're highlighting, which of those you'd maybe focus us in on? Thank you.
Jen Hsu: Yes. I would say, we're not seeing anything surprising from a macro perspective as we've articulated on this call. Perhaps on seasonality, I'd just come back to what we have shared in the past and we do expect a disreport. We've talked about it from a net adds perspective, but that translates to bookings obviously. We expect kind of Q2 and Q4 to be our larger share of net adds and that's relative to kind of lower base on Q1 and Q3.
Michael Turrin: Okay. And then on the gross dollar retention metrics, the commentary and then I think the comment in the materials sounds like you're expecting that to stabilize after some of the price impacts. Can you walk us through just what you're seeing that's driving the confidence there and whether this is sort of the right zip code for us to think about, just in evaluating that metric as we roll through the course of the year?
Jen Hsu: Sure. I would say, what we described in our earlier remarks is really it's a technical factor that is affecting that metric. And so, whenever we have made pricing changes in the past, those pricing actions have an impact on the metric for a 24-month period. And because we made large price increases in step functions as opposed to kind of gradual price increases over time, there's a mathematical impact to gross dollar retention. I would come back to say, I think our overall objective and you've heard us share this on this call is, the goal is to bring discounted members in line with our growing value proposition. And I think we've done that successfully, and we've consistently been able to grow our CLEAR+ members and our average price over time, which is translated into bookings growth. So I think, the pricing increases that we took were the right thing to do and you see that in our output of members bookings and ultimately free cash flow.
Caryn Seidman-Becker: If I can just add to that, our focus is on driving the member experience and making sure that we are creating value for our customers. As we've talked about in the past few quarters, there are too many customers who are not right, the price does not match the value. Number one, continue to drive the value and then price follows.
Michael Turrin: Thank you.
Operator: At this time, I would like to turn it back to Caryn for any closing remarks.
Caryn Seidman-Becker: Thank you for joining our call. I'm proud of how our team is executing and extremely excited for the opportunities in front of us. So thank you.
Operator: [Operator Closing Remarks]